Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2010 Western Union Earnings Conference Call. My name is Melanie, and I'll be your coordinator today. [Operator Instructions] I would now like to turn the call over to Mr. Mike Salop, Senior Vice President of Investor Relations. Please proceed.
Michael Salop: Thank you, and good afternoon, everyone. On today's call, we'll have comments from Hikmet Ersek, our President and Chief Executive Officer; and Scott Scheirman, Executive Vice President and Chief Financial Officer. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in a supplemental table with our press release. As a reminder, today's call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2009 Form 10-K for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We've reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I'd now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and welcome to everyone on the call. We are pleased to share with you today our fourth quarter results and our outlook for 2011. As we enter the new year, our focus remains on our key strategic priorities of growing retail channels, expanding electronic channels, developing our product portfolio and improving process and productivity. We had a strong finish to 2010, not only with our business trends and financial results, but also with advances on our key strategic priorities. For the year, we delivered earnings per share of $1.42, excluding restructuring expenses, and generated $1 billion of cash flow from operations. We also grew our retail net agent network to 445,000 locations and believe we continue to gain cross-border market share. In the fourth quarter, revenue increased 3%, with constant currency revenue growing 5%. Constant currency revenue growth in our Consumer-to-Consumer business improved for the fifth quarter in a row accelerating to a 5% increase. The progress was widespread as revenue growth rates improved in all of our regions compared to the prior quarter. Asia Pacific led the way with 14% revenue growth, but our biggest change came from the Americas. This region delivered 7% revenue growth for the quarter and 2% for the year, following three straight years of declines. Contributing to the growth in the Americas was the turnaround in the U.S. domestic businesses. As we expected, the repositioning, which roll high transaction increases throughout 2010 led the revenue growth in the fourth quarter. In the quarter, domestic money transfer revenue increased a strong 7%. Our strategy has been very successful, and we believe we have created new demand and attracted new consumers to our brands. In Global Business Payments, the bill payment revenue declined moderated slightly compared to the third quarter. We continue to work stabilizing this business through the addition of new billers and the rollout of an improved walk-in payment service. The Custom House business, which we have rebranded Western Union Business Solutions, delivered strong revenue growth, reaching $30 million for the quarter and $111 million for the year. Globally, we have signed several agreements over the past few months that position us well to execute on our key strategies as we move forward in 2011. We will be expanding our retail channels with some of the premier banks in Europe and Russia, including Banca Intesa Sanpaolo and Sberbank and have added several new subagents in India that combined will bring more than 5,000 new locations primarily in the important southern rural region of the country. In electronic channels, we now have 40 banks that have agreed to offer account-based money transfer, including our first one in China, Shanghai Pudong Bank. We signed a mobile agreement with MTN that covers 21 countries across Africa and the Middle East. We have also begun money transfer services through ATMs in Europe with Banca Transilvania in Romania and Garanti Bank in Turkey with almost 4,000 ATMs active in the region and more on the way. And we have expanded westernunion.com to 20 countries recently adding Denmark, Poland and Finland. In new products and services, we have signed new prepaid card distribution deals such as with income and continue to work on international expansion plans. We have also made good progress in process and productivity. The retraction we announced last May is on track, and we are now anticipating additional opportunities under this program to further streamline our business, which Scott will discuss in a few minutes. As we look ahead to 2011, we expect the momentum generated at the end of last year to continue. Although there is still generally high unemployment and challenging economical conditions in some countries, we believe the environment has been stabilizing and anticipate modest improvement in the remittance market in 2011. Overall, we expect 3% to 4% constant currency revenue growth for Western Union in 2011. Our outlook anticipates continued share gains in cross-border remittances from further retail expansion, marketing initiatives and growth in electronic channels. We expect the bill payment business to continue to be challenging but we believe the revenue declines will moderate as we progress through the year. Western Union Business Solutions, which was formerly Custom House is projected to deliver mid-teens revenue growth in 2011 and no longer be dilutive to EPS. And our objective with the Prepaid business is to double the cards-in-force. We expect Prepaid revenues to grow to approximately 1% of the total company revenue this year. Our operating margin outlook calls for expansion in 2011. We anticipate revenue growth and savings from restructuring and productivity usage to more than offset investments in the business. We believe we are investing appropriately to drive future growth both from strategic initiatives such as electronic channels, Prepaid and business-to-business payments, as well as our core retail Money Transfer business. Finally, we plan to continue in 2011 with strong cash flow generation and meaningful return to capital to our shareholders. We anticipate generating $1.2 billion to $1.3 billion of cash flow from operating activities this year. During 2010, we returned $750 million to shareholders through buyback and dividends, and we will be active in 2011. Today, we are announcing a new $1 billion of share repurchase authorization, and in December, our board increased the quarterly dividend by 17% to $0.07 per share. As I have mentioned in the past, I believe we have the right strategies in place and our success will depend largely on execution. Our strategic priorities of growing retail channels, expanding electronic channels, developing our product portfolio and improving process and productivity present us many opportunities. Our priority to grow retail channel is driven by positive long-term demographic trends that should support migrant flows and remittance growth over time. The need for cash in much of the developed world is still critical, and we believe we can gain share through expanding our network, marketing our brand and complementing our physical network with electronic channels. We now have almost 60 million loyalty cards, and in 2011, we plan to increase our retail network by another 30,000 to 40,000 agent locations. Our second strategic priority is expanding electronic channels. There are many emerging competitors in electronic channels, but none can match the combination we offer with our agent network, brand, compliance capabilities and scale. Our development of westernunion.com, account-based money transfer through banks and mobile money transfer not only allows us to offer more choice to consumers but also reach new consumers who already utilize account-based methods. Our third strategic priority is developing our product portfolio. You can utilize our agent network, brand and consumer business relationship to enter new areas. With prepaid cards, we are offering an additional service to new and existing consumers in a fast-growing global market. With Western Union Business Solutions, we are entering a large fragmented market by serving the underserved, in this case small and medium-sized enterprises that have cross-border payment needs. Our final priority is to improve process and productivity. We believe there are many opportunities to create a faster-moving, more efficient organization that can generate long-term margin expansion. The restructuring activities we have undertaken to drive efficiencies are one example, and I am committed to driving continuous improvement. So we are confident in our strategies. With the improvement in our business in the fourth quarter, the many new agreements in place and the advances we are making in our initiatives, we believe we are well positioned to drive execution and growth. Now to give you a more detailed review of the financial results for the fourth quarter and the 2011 outlook, I would like to turn the call over to Scott.
Scott Scheirman: Thank you, Hikmet. As I review 2010 revenue results, I will primarily focus on the fourth quarter. The similar information for the full year can be found in our press release and the attached financial schedules. Overall, for the quarter, we reported consolidated revenue growth of 3% or 5% on a constant currency basis. Total Western Union transaction fee revenue represented 78% of total company revenue for the quarter and increased 2% from the prior year. Foreign exchange revenue represented 20% of total company revenue and increased 7% from the prior year. Our Consumer-to-Consumer segment revenue growth rate accelerated from prior quarters, posting an increase of 3% or 5% on a constant currency basis. Each region contributed to improved trends although currency translation continued to negatively affect Europe. Transaction growth in our C2C segment for the quarter was 9%. Trends in the international C2C business improved from the third quarter as revenue grew 3% or 5% on constant currency basis on transaction growth of 8%. The company's C2C cross-border principal increased 6% in the quarter or 7% on a constant currency basis. C2C principal per transaction decreased 3% year-over-year or declined 1% on a constant currency basis. Turning to our regions. Our C2C business in the Europe, Middle East, Africa and South Asia region grew transactions of 6%, up from the 5% growth in the third quarter. Revenue declined 1% and was again negatively impacted by currency translation. On a constant currency basis, EMEASA revenue increased in the quarter. Large markets such as the U.K., Germany and Russia continue to deliver solid constant currency revenue growth, but the real change came from some improvements in areas that were challenged the last few quarters such as the Gulf States. After a couple of quarters of declines, the Gulf States returned to transaction and revenue growth in the fourth quarter. India also contributed to the quarterly improvement with transaction growth of 6% and a revenue increase of 8%. As we announced at the end of the year, we have agreed to acquire the remaining 70% interest in one of our leading super agents in Europe, Angelo Costa. This acquisition will allow us to more directly access our network locations and be closer to our consumers, as well as more quickly introduce new products and services such as prepaid cards. From a cost standpoint, we will be able to optimize commission levels, and as a result of combining Angelo Costa with the business we acquired to the FEXCO acquisition in 2009, we expect to realize efficiencies and economies of scale over time. For the full year, the EMEASA operating margin was 28%, an increase of 10 basis points from 2009. Turning to the Americas region. The U.S. domestic repositioning helped drive improved revenue growth in the quarter. Overall, the Americas region delivered a revenue increased of 7% on transaction growth of 11%. Domestic money transfer delivered a strong 7% revenue growth in the quarter as we reach the anniversary of last year's repositioning. Domestic transaction growth continued as well, with an increase of 29% in the quarter. We believe the repositioning has been driving new business to our network, and we expect continued revenue growth in 2011. Elsewhere in the region, Mexico transactions and revenue each grew 3% in the quarter, and the U.S. Outbound business continued to perform well. For the year, the Americas' operating margin was 28%, a 200 basis point increase from 2009. The Asia-Pacific region continued its strong performance with growth of 14% in both transactions and revenue in the quarter. Many countries across Asia Pacific are performing well, including the Philippines and Australia. We're also off to a good start in developing our business in Japan. In China, transactions grew 7% and revenue increased 6%. The Asia Pacific operating margin for 2010 was 29%, an increase of 210 basis points from 2009. For the overall C2C business, the spread between transaction and revenue growth in the quarter was four percentage points, excluding the impact of currency, which had a negative two point impact. The spread narrowed from previous quarters, primarily due to the anniversary of the price changes in domestic money transfer. If you recall, we initially repositioned the business at the beginning of the fourth quarter in 2009 and with the $50 for $5 segment enacted in mid-November of that year. The pricing impact on the spread in the fourth quarter was only 2% due to the anniversary of the domestic changes. Full year C2C pricing impact was 4%. This year, we'll adjust our pricing reporting to more precisely differentiate pricing and mix, using prior year transaction volumes as a basis for the pricing calculation rather than current year transaction volumes. Under the new definition, our pricing impact in 2009 would've been 3%. In 2011, we expect pricing reductions to be approximately 2% to 3%. Moving to Global Business Payments segment. Overall, revenue was flat. The Bill Payment business decline moderated slightly with a decrease of 5%, again due to the U.S. market. Western Union Business Solutions revenues were $30 million in the quarter, up from $23 million in 2009. In the U.S. Bill Payment business, we continue to roll out our walk-in bill payment platform. The new enhanced service will simplify branding and product positioning, improve the consumer experience and give us the flexibility to implement more dynamic pricing models for the Bill Payment business. Before we move onto margins, I want to give a brief update on our progress and metrics in electronic channels and Prepaid. In the fourth quarter, our westernunion.com transactions in international markets increased 50%. Including the U.S., globally westernunion.com increased transactions by over 20%. We added three new country transaction sites in the quarter, raising our total to 20 countries around the world. Account-based money transfer transactions, which includes cash to accounts and accounts with cash through banks increased over 40% in the quarter. We now have 40 banks that have agreed to offer this service. In mobile money transfer, we have 12 agreements in place with mobile network operators and banks, and we have also enabled over 80,000 of our agent locations in 48 countries to be able to provide cash to mobile service. In total, electronic channels represented 2% of total company revenues for both the quarter and the year. In Prepaid, we increased our cards-in-force in the U.S. to 890,000 with retail distribution at nearly 9,500 locations. For the year, over $350 million of principal was loaded on to the Western Union Prepaid cards through 1.5 million loans. Our Prepaid revenue in 2010 was not material and mainly driven by third-party top-ups. In 2011, we should start to see the early results of the CCH tax refund card offering as well as benefit from the income distribution. Internationally, our Prepaid group has been working with multiple country teams around the world to prepare for Prepaid launches. Turning to margins. Fourth quarter consolidated GAAP operating margin was 24%. Excluding restructuring charges, the consolidated operating margin was 25%. The fourth quarter operating margin, excluding restructuring charges, improved approximately 30 basis points from the same period last year. Excluding restructuring, the operating margin declined relative to the third quarter of 2010 due to planned increases in marketing and investment spending as we discussed in the third quarter call. We recorded $11 million of restructuring charges in the quarter related to our May 27 announcement. Approximately $1 million of the charges included in cost of services and $10 million is in SG&A. These charges are not included in our segment operating results. Our full year 2010 GAAP operating margin was 25% or 26%, excluding the restructuring charges. Full year operating income margins, excluding 2010 restructuring charges and the 2009 settlement accrual, declined approximately 40 basis points compared to last year. Increased investment and acquisition amortization were the main drivers, partially offset by lower marketing spending and operating efficiencies. For the year, we recorded $60 million in restructuring charges, with $15 million in cost of services and $45 million in SG&A. In December of this year, we received the final settlement of our claim with the Reserve International Liquidity Fund. We received a cash payment of $37 million, which resulted in a $6 million benefit in the other income expense line in the fourth quarter. The fourth quarter tax rate benefited from favorable cumulative adjustments. Consequently, we reported a tax rate of 16% for the quarter and 21% for the year, which compared to 25% for the 2009 full year. The 2010 full year tax rate was favorably impacted by the increasing proportion of profits being foreign-derived, the cumulative positive tax benefit of previous foreign acquisitions and tax planning and IRS settlements relating to prior years. Earnings per share in the fourth quarter were $0.37 or $0.38, excluding restructuring charges. On a constant currency basis, EPS was also $0.38, excluding restructuring. This compares to GAAP EPS of $0.32 in the fourth quarter of last year. Our C2C segment operating margin in the fourth quarter was 27%, an increase of 130 basis points over the same period last year. The full year C2C operating margin was 28%, which represented 110 basis point improvement over 2009. The fourth quarter margin improvement was driven by revenue growth and lower marketing spending while the full year improvement was primarily due to lower marketing spending. Global Business Payments' operating margin was 13% in the fourth quarter, which compared to 20% in the fourth quarter of 2009. The margin declined compared to last year, primarily due to the revenue decline in mix shifts in U.S. Bill Payments, as well as higher investment in Western Union Business Solutions, which was formerly Custom House. Margin declines compared to the third quarter relate primarily to the Bill Payment revenue and mix changes. Excluding Business Solutions, operating margin was 21% in the fourth quarter of 2010, which compared to 26% in the prior year. For the full year, Global Business Payments' operating margins were 17%. As expected, Western Union Business Solutions contributed an operating loss due to the integration expenses, intangibles or amortization and investment spending for future growth. We expect this business to be non-dilutive in 2011. Excluding Business Solutions, full year operating margins were 24%, which compared to 27% in 2009 and were negatively impacted by the decline in the U.S. Bill Payment revenue and mix of business. Moving to our cash flow and balance sheet. Our financial position remains strong. In 2010, cash flow from operations was $994 million and included the impact of a $250 million refundable tax deposit that we made with the IRS in the first quarter. Capital expenditures were $114 million for the year and $26 million in the fourth quarter. At year end, the company had total debt of $3.3 billion and cash of $2.2 billion, of which approximately $1.3 billion was outside the United States. During 2010, we spent $584 million to repurchase nearly 36 million shares or 5% of the total shares outstanding at an average price of $16.44. In the fourth quarter, we repurchased 4 million shares at an average price of $18.15 per share for a total of $70 million. As of December 31, we have $416 million remaining under the previous stock repurchase authorization, which is incremental to the $1 billion authorization that was announced today. Both authorizations expire on December 31, 2012. In December, we also raised our quarterly dividend by 17% to $0.07 per share, and during 2010, we paid a total of $165 million in dividends. Turning to our full year 2011 outlook. We expect the momentum we realized in the fourth quarter to continue. We would characterize the overall economic environment as stable with economic challenges in some parts of the world and continued high unemployment levels. We anticipate modest improvement in the global remittance market. Our outlook projects stronger Consumer-to-Consumer revenue growth, moderating Bill Payment declines and midteens revenue growth from Western Union Business Solutions. Electronic channels are projected to grow to 3% of total company revenue, and Prepaid, including third-party top-up is expected to reach approximately 1% of revenue. Overall, we expect constant currency revenue growth of 3% to 4% for the year. Based on recent exchange rates, we expect GAAP revenue to be similar to constant currency. Operating income margins are projected to expand in 2011 to approximately 27%, excluding restructuring charges, which compares to 26% in 2010. From a GAAP standpoint, we project operating margins of approximately 26% compared to 25% in 2010. Revenue leverage, restructuring savings and other operating efficiencies are expected to more than offset investments in strategic initiatives and fixed cost inflation. As our strategic initiatives become more combined with our other businesses, we will no longer plan to break out specific investment dollars, but as a frame of reference, we are increasing investment spending compared to 2010. We are projecting 2011 marketing expense as a percentage of revenue to be similar to 2010 levels at around 4%. We anticipate recording approximately $50 million of pretax restructuring charges in 2011, which represents an impact on GAAP EPS of $0.06. As you recall, in May of last year, we announced a multi-phase global initiative to simplify business processes with the decision-making closer to the marketplace and leverage our cost structure. At that time, we anticipate recording approximately $80 million of restructuring charges over 18 months, and in 2010, we recorded $60 million of these charges. After further analysis of our organization design opportunities, we're now expecting the total charges and related savings to be higher than originally projected. Our 2011 outlook includes anticipated pretax savings from restructuring actions of approximately $50 million, which compares to $8 million of total savings achieved in 2010. Beginning in 2012, we now expect annualized savings of $70 million from the restructuring initiatives. Currency is expected to negatively impact 2011 earnings per share by approximately $0.02. Due to differences in foreign exchange hedge rates in 2011 compared to 2010. To give you an idea of sensitivity of the future foreign exchange rate movements, based on our current hedge position, a 5% move in the European currencies would impact revenue by approximately $55 million and pretax operating income by around $7 million on a full year basis. Our outlook also includes a net $0.01 benefit to EPS from the Angelo Costa acquisition, which is expected to close in the first half of the year. The acquisition impact is a result of the gain anticipated to be recorded on Western Union's previous 30% equity ownership position in Angelo Costa, partially offset by slight dilution from integration costs. We anticipate our tax rate to be higher in 2011 as we had various benefits in 2010 from cumulative adjustments and favorable resolutions. We currently project our GAAP tax rate at approximately 24% to 25% for 2011 versus 21% in 2010, which results in a negative impact to EPS of $0.06 to $0.08 in 2011 compared to 2010. We believe future year tax rates should continue to benefit from an increasing proportion of profits being derived outside the U.S. Finally, we expect capital expenditures to continue to be around 2% to 3% of revenue. Given all these factors, our outlook for 2011 is constant currency revenue growth in a range of 3% to 4%; GAAP revenue growth similar to constant currency; GAAP operating margin expansion to approximately 26% in 2011 compared to 25% in 2010; operating margin expansion to approximately 27% in 2011, excluding restructuring charges compared to 26% in 2010; GAAP EPS of $1.41 to $1.46, including $0.06 of restructuring charges; EPS of $1.47 to $1.52, excluding restructuring charges; and GAAP cash flows from operating activities of $1.2 billion to $1.3 billion. In summary, we are pleased with the improving trends in our business and the progress we are making on our strategic priorities. We finished 2010 on a positive note, and our 2011 outlook balances growth, margin expansion and strong capital deployment for shareholders with appropriate investments for the future. I would now like to turn the call back to Mike for Q&A.
Michael Salop: Thanks, Scott. Once again, in order to maximize the number of people we can get on the call and still finish within an hour, we would ask you to limit yourself to one question per person. Melanie, we're ready for the first question.
Operator: Our first question comes from Adam Frisch with Morgan Stanley.
Adam Frisch - Morgan Stanley: I wanted to focus on C2C for a second and the operating margin that you guys are targeting for C2C in 2011 and also provide some detail on the contributions from revenue growth and what went into those assumptions? I know it's about 84% or so of total revs, so your guidance there was kind of in-line with consensus. I just want to see what your assumptions were there to gauge how conservative that may prove and then the expense reduction as well?
Scott Scheirman: Sure, Adam, good afternoon. This is Scott. We're pleased with the C2C business. As you mentioned, it's about 85% of our revenue, and in 2011, we expect our margins to expand consolidated from -- roughly by a little bit less than 100 basis points, excluding the restructuring charges. A fair amount of that will come from the C2C business. We expect the revenue to grow quicker in 2011 than 2010 in the C2C business, and we see strength in various pockets around the globe, some challenges in some other areas, but overall, we expect both the margin for the company and the margin for C2C to expand in 2011.
Operator: Our next question comes from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang - JP Morgan Chase & Co: I'm glad to see the margin expansion. I'll ask about revenue. I was curious about the Gulf States or the Middle East, given all the turmoil there in Egypt. Can you share with us your revenue exposure to Egypt and what your 2011 outlook assumes and if it contemplates a pretty bad case in the region if that plays out?
Hikmet Ersek: It's Hikmet. As everybody, we are also worried with what happens in Middle East, but if you look at our portfolio in 200 countries and none of the countries are outside the U.S., we are bigger than 6% of our revenue, no country is bigger than that. And particularly in Egypt, it's less than 1% of our revenue. So being in 200 countries and territories gives us the opportunity to have the right balance against the risks and opportunities. We are of course watching it, the Middle East, very carefully currently and about our transaction, we are pleased with our transaction growth in Q4 within the Gulf States. We see slight improvements there, and that has also impacted the South Asia corridors. So currently we are watching Egypt, as I said, and as I said, it's less than 1% of our revenues. So that's the case currently.
Operator: Our next question comes from the line of Bryan Keane with Credit Suisse.
Bryan Keane - Crédit Suisse AG: I guess my question is on constant currency revenue growth. For the quarter, I think it was 5%, but you guys are guiding to 3% to 4% for the year. Is that just you guys being conservative? And if I can sneak in a second one, just on Bill Payment margins. Obviously, that still seems to be impacted. What's the outlook there to rightsizing that business to fix the Bill Payment margins?
Hikmet Ersek: Bryan, it's Hikmet. Maybe I'll start and Scott take it probably. If you look at our business in 2010, Bryan, we had a good quarter in 2010 fourth quarter. But overall, constant currency x Custom House, we had a 1% revenue growth. And coming to 3% to 4% overall 2011 revenue growth, I believe it's a good revenue growth, and we are quite confident that we have forecasted a good revenue growth here. And the transactions are coming, so we are cautiously optimistic on the economic environment, but I believe that 3% to 4% for 2011 is a good revenue growth. Do you want to add something Scott?
Scott Scheirman: No, I'd just comment, to the second part of your question on the Global Business Payment segments, things that will be helpful to improve those margins as we move in into 2011 is that the Business Solutions, which was formerly Custom House business, we expect that revenue to grow in midteens. We'll see nice top line growth there and that business will no longer be dilutive, so that will be helpful to the margin profile. In addition, the U.S. Bill Payment business we expect the revenue declines to moderate, and then we've got a number of process improvement or productivity initiatives. So our objective with the Global Business Payments is to really if you will stay below those margins and really look towards slightly improving those margins compared to the fourth quarter levels as we move forward, but we're very focused -- Hikmet and I and the team are very focused on that business and making improvements to that segment, in particular the U.S. Bill Payment business.
Operator: Our next question comes from the line of James Kissane with BAML.[BofA Merrill Lynch]
James Kissane - BofA Merrill Lynch: Scott, can you review the change in the pricing definition? Maybe give us a little more color on pricing across the different corridors? And should we assume pricing is flat in the United States in 2011?
Scott Scheirman: Sure, Jim. Pricing, as we think about forward-looking, we're somewhere in that range of 2% to 3%. If I compare that back to 2010, clearly, one of the bigger pricing actions we did was with domestic Money Transfer, really, if you will, throw that pricing impact to 4%, but we're really pleased with that because we've got 7% revenue growth in the fourth quarter, and that's a business that's got 30% plus margins. As we thought about how to best articulate and communicate pricing with our investors, we think one of the key things is a better measurement as we look forward is to really take any change in revenue per transaction because of pricing and really compare that to the prior year volumes compared to the current year volumes just to better offset or better balance what the pricing impact is in the mix. But as we look forward in 2011, we do think the pricing will be in the range of 2% to 3%, a little bit less than we saw in 2010. And then in the U.S., we think we are well positioned there, never say never but don't contemplate any pricing changes there of any significance, and then we do manage 16,000 corridors, so we'll look corridor by corridor, and as it makes sense, we may make some pricing adjustments all in the effort to drive long-term revenue growth and market share.
Operator: Our next question comes from the line of Darrin Peller with Barclays Capital.
Darrin Peller - Barclays Capital: A quick question on some of the emerging payments trends. On prepaid debit cards first, you reached 890,000 by year end, and I think you talked about 1% of revenue being from Prepaid, so what kind of growth in cards is that in '11? What is the expected margin on that? And then also, around the mobile money transfer side, your discussions have been more around a lot of the international operations and some successes there. Have you been in any discussions around the U.S. mobile money launching platforms that we've heard discussed?
Hikmet Ersek: Darrin, it's Hikmet. Let me start with the Prepaid side and then a little bit on the mobile. On the Prepaid side, it's in early stages. We are pretty pleased with our expansion on that 890,000 cards-in-force. We have 9,600 active locations. We start selling the direct marketing on that also to issue new cards. We recently signed an income agreement with an income, which gives us the capability to expands the number of locations to sell the cards. It will take some time to expand. We are looking also on the expansion out of the U.S. I believe that's a huge opportunity also given our brand, global brand, global network, agent relationship. We believe that we have also learnings from the U.S. can expand and launch in new countries. But it will take some times on that part. We believe that with the top-up, we assume that the additional incremental 1% of the revenue will come from the Prepaid. And on the mobile side, it's really also long-term opportunity as the emerging part of our business, but we have about 80,000 locations activated globally to send money from 48 countries, and we have agreement with 14 mobile operators. I think we are in a very good position here also. The big advantage we have despite the others is that that we have one brand one global network, which connects the dots, and we have the cash availability to pay in 450,000 locations and pay out in 450,000 locations. So I think we are very well positioned to get that. We also look, of course, also the possibility to expand our mobile opportunities on the U.S.
Operator: Our next question comes from the line of David Togut with Evercore Partners.
David Togut - Evercore Partners Inc.: Hikmet and Scott. Based on your cash flow forecast and 2% to 3% of revenue being CapEx and dividend is somewhere about $188 million. It looks like you'll have free cash flow somewhere between $862 million and $1.01 billion. So what do you intend to do with all that cash?
Scott Scheirman: David, a couple of things. First is to invest in the business. As you summarized, CapEx will be $100 million, $150 million. Our second priority is to really invest in the business through mergers and acquisitions. We announced the Angelo Costa deal about a month ago that will be a good use of our international cash. All the time we're looking at other things out there so we want to look to acquire companies but that kind of go well with our strategy and have the right cash-on-cash economic return. And then from there, really returning cash to our shareholders. As we announced today, another $1 billion of stock buybacks. We've got about $1.4 billion through the end of 2012. Back in December, we moved to a more balanced payout on our dividend. Our Board increased that by 17%, and so as we look forward, we'll prioritize our cash that way. Probably one important thing to remind everyone too is that about half of our cash flows are U.S. About half of our cash flows are international, so we'll prioritize those as we need to move forward. But we're in the fortunate position of generating $1.2 billion to $1.3 billion of cash. Then they really allow us to drive and execute our strategies and return the capital to shareholders.
Hikmet Ersek: Maybe I'll just add on that, David, is also our M&A strategy or using the cash for M&A is aligned with our strategy. I mean as you heard recently from the Costa acquisition, it's supporting our core business but we are also looking on the merging side, merging new opportunities on the M&A side. So I think we have the fortunate position to have the cash to be active on the market also, but it has to be aligned, as Scott said, with our business and it has to be closer to our business.
Operator: Our next question comes from the line of Julio Quinteros with Goldman Sachs.
Julio Quinteros - Goldman Sachs Group Inc.: I just wanted to circle back on the target margins for the Global Business Payments. So when you talked a lot about the initiatives and the things that you're doing to try and sort out the improvements in the Global Business segments, but when it's all said and done, from the 13% level or so that we're looking at coming out of this quarter, where do you guys actually expect that margin to sort of shake out? What levels do you think it can actually get back to as we go forward from here?
Scott Scheirman: Yes, this is Scott. For sure, we expect it to be a much better than the 13% that we reported in the fourth quarter. Custom House not being dilutive will be helpful as we implement our productivity initiatives that those will be helpful. So I would say we're very focused on that business getting the revenue to go north, improving those margins but I'd say just going back to the overall consolidated business of portfolio of products and services and channels that we want to improve the margins by a little bit less than 100 basis points in 2011. So it'll be a combination of all those things both the U.S. Bill Payment and the C2C business to drive that margin expansion but at the same time making sure we got the right investments in the business.
Operator: Our next question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: Hikmet and Scott, in the past you've talked about PSD having a positive impact on revenue growth, and I'm wondering if you could discuss maybe what impact do you anticipate it having on 2011, and if it hasn't yet, when you might expect that impact to continue? And just to follow on to Europe is, maybe where in Europe you might be seeing pricing pressure as transactions grew faster than obviously revenue?
Hikmet Ersek: Well, first of all, let me start with the PSD part. I think we are pleased with the team and I'm pleased with the development of the PSD sector. We have about activated 2,000 locations in Europe with the PSD. A good thing also is that half of that is about independent locations, like ethnic locations we in the past had a limited access in Europe with that. So that gives us the opportunity. If you target the flat 1% incremental revenue coming into 2011 by PSD initiatives to incremental to total revenue generated by the PSD. So we are pretty well underway on the PSD and we have a kind of list to activate -- we signed some agreement to activate the location. It takes some time to activate the locations. As you can recall, there are some big retailers. There are some big service chains to activate them, to connect them and activate the point of sale. It can take some time. On the second question was...
Scott Scheirman: Kartik, on your second question, the transaction revenue spread within Europe and so forth, one thing I'd point out is that the Euro currency continues to negatively impact revenue out of Europe. So if you exclude the impact of currency, the revenue growth in Europe in that division was actually positive in the fourth quarter.
Operator: Our next question comes from the line of Ashwin Shirvaikar with Citigroup.
Ashwin Shirvaikar - Citigroup Inc: So my question is on margin improvement for 2011. Is it possible to break out sort of the impact of scale versus restructuring versus other things that you're doing on the margin? And then second question is how much of the buyback is assumed in guidance? Should we sort of do it creatively and say $700 million per year?
Hikmet Ersek: Yes, I think we are very focused on margin expense. As I mentioned at about a few months ago at our Investors Relationship Meeting we had in New York, our priorities are process and productivity. What we put is kind of a strategic process and productivity priority here. We have a methods to go after the margin expansion and optimizing our processes and very focus on productivity. Besides that, I believe also we have the right tools on the market. We have the right agent agreement, which helps our margin expansion.
Scott Scheirman: What I would add to the margin expansion, just to bring out the specifics, Ashwin, but it is driven from a combination of several things, which is good, which means it's diverse, but revenue growth will be helpful. We'll continue to optimize our commissions, as Hikmet mentioned, improvements in process and productivity and somewhat offsetting that are some investments in the business that are important for the long-term growth and health of the business. On the stock buyback, yes, our outlook does assume some level of stock buyback. I don't necessarily have a specific target I want to share, and the reason is it's important to have flexibility. As the year goes by, we'll prioritize our cash flows accordingly to have the best return to our investors of how we invest or utilize those cash flows. But I will say that we plan to be active. We were active in 2010. We bought back nearly $600 million of stock, and we have a $1.4 billion authorization for the roughly for the next two years.
Operator: Our next question comes from the line of Craig Maurer with CLSA.
Craig Maurer - Credit Agricole Securities (USA) Inc.: If we go back, and I know it seems like forever ago but before the recession, you guys had discussed global price stabilization, and I was wondering if you think there's a chance we might see that again over the next few years or we are in a terminal price decline of 2% to 3% per year basically for the foreseeable future?
Hikmet Ersek: Craig, this is Hikmet. If we look at your business with the global expansion, we are reaching our 16,000 corridors. We are in 200 countries, and we are really managing our pricing based on the voice of the customers. We have 16,000 corridors. We have 200 countries. Within the corridors, we have different brands, which we manage the pricing. So I think the 2% to 3% of pricing decline wasn't traditional where we forecast for 2011, and the biggest price investment we had was last year in the U.S. with our DMT turnaround. And as you know that it has been a very successful action year and promotion that we gained, not only turned around the business, but we also gained new customers with our $5 for $50 attracting new band. So I think we see the pricing investments more from promotional marketing idea and to getting new customers, winning on the corridors. And if you look at our strategy, obviously, the customers are reacting pretty well. We are gaining market share. We believe that we gained again market share in 2010 and we expand our business. So on the pricing, I would say that's our strategy and it works pretty well.
Operator: Our next question comes from the line of James Friedman with Susquehanna.
James Friedman - Susquehanna Financial Group, LLLP: I wanted to ask about -- as we try and project your margins in 2011 and potentially beyond, I wanted to ask what was new in your commentary regarding the savings? And you said $8 million in 2010, $50 million in 2011. I don't recall what you had said previously if anything about 2012. Is that $70 million a new number as we try and project your margins going forward?
Scott Scheirman: Yes, James. That is a new number. Our prior communication was we expected roughly about $50 million in 2012. In the last month or so, we've identified some additional opportunities to streamline the organization, further leverage our global operating centers, and because of that, we now expect about $70 million of savings in 2012 up from the $50 million that we talked about, about 90 days ago.
Operator: [Operator Instructions] Our next question comes from the line of Chris Mammone with Deutsche Bank.
Christopher Mammone - Deutsche Bank AG: So it looks like normalizing for the tax issue in 2010 that your capital guidance is flat for 2011. So I was just wondering if you could provide sort of bridge that out for us and just provide some of like the puts and takes to get from '10 to '11? And then as a follow-up, just back to the Egypt issue. I think the Gulf States in general was enough, was big enough for you to call it out as a detriment to 2010 guidance. I'm just wondering as we look at that region in general, if unrest in Egypt sort of spreads region-wide? Would that be enough to cause the 2011 revenue outlook to be at risk?
Scott Scheirman: Look, let me first start on the cash flow. For 2011, we're estimating $1.2 billion to $1.3 billion, and again, that's a range. As we look forward, we think that the top line revenue growth of 3% to 4% will be helpful with that. There may be some changes in working capital. So overall, we feel good about $1.2 billion to $1.3 billion, and we'll see where that goes as the year progresses, but we think that's very solid, very steady very consistent from that standpoint. On the Gulf States and potential challenges there, it's hard to predict the future for sure. As Hikmet mentioned, Egypt is less than 1% of our revenue. The Gulf States in general, we saw improvement in the fourth quarter versus the first three quarters of the year, but I'll also say as part of our 2011 outlook we've got very moderate expectations for the Gulf States. We'll have to see how all that plays out, but the beauty of our business model is being in 200 countries. There is no one country outside the U.S. that's more than 6% of our revenue, so diversification is very helpful being in 200 countries.
Operator: Our next question comes from the line of Tim Willi with Wells Fargo.
Timothy Willi - Wells Fargo Securities, LLC: I was wondering if you could just talk a bit about the M&A environment. You made a comment that seems to indicate it's a little bit more of a priority than maybe I would've thought versus prior quarter's commentary. Is it most likely still to be in money transfer-related entities? Or do you see more and more opportunities to do things around mobile or prepaid, some international platforms that may be for sale, those kinds of sort of electronic channel opportunities or what are they again, just to be back to sort of the traditional super agent or money transfer base properties?
Hikmet Ersek: This is Hikmet. If you look at our M&A side, which is aligned with our general strategy, right, I mean if you look at offline, that our Investors Day and several times in the past, I think if we look with our cash flow what we have, we looked at on the market exactly the things what we are focused on. Is it just a core business? Is it in the electronic channels? Is it in the Prepaid structure? The beauty of our business is generating a lot of cash, and with that, we also have the opportunity to be an active in the M&A targets. So I think we will continue to look at our adapting our -- this time, we are continuing to look at the market.
Operator: Our next question comes from the line of David Parker with Lazard Capital Management.
David Parker - Lazard Capital Markets LLC: I was hoping if you could talk about maybe the regulatory environment. Is there anything that you're paying close attention to both domestically and internationally? And then also just specifically that you address the formation of the Consumer Financial Protection Bureau in the U.S. and do you anticipate any new regulation in your core Remittance business or in your Prepaid business from that entity?
Hikmet Ersek: David, it's Hikmet. As you know, that's operating in a very related environment, obviously, we are watching in every country, 200 countries and territories where we are active, we are watching the regulatory environment very close. So if you have experienced here how we operate, and I think we are very well positioned to respond to the regulatory needs. One of the things which are coming constantly the questions in especially the U.S. is a consumer side how transparent we are, and we believe that the way of how we operate is very transparent. You know that we have this fixed money transfer that we inform the sender immediately how much he has to pay, what's the transfer and the fees and on the effect. And so if the sender can quote also the receiver talking about the fees and the FX rates. So from that side, I believe we are well positioned to respond to the questions and to the needs of the regulatory environment.
Michael Salop: So it's just about the bottom of the hour, so we're going to close the call. I want to thank everybody for joining us today. There's a reply of the call available. The call-in information is on our press release, on our website as well. So again, thanks for joining us and have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. That does conclude the presentation. You may disconnect. Have a wonderful day.